Operator: Good day, and welcome to the Q3 2025 Materialise Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Ms. Harriet Fried with Alliance Advisors.
Harriet Fried: Thank you, everyone, for joining us today for Materialise's quarterly conference call. With us on the call are Brigitte de Vet, Chief Executive Officer; and Koen Berges, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation that reviews Materialise's strategic, financial and operational performance for the third quarter of 2025. To access the slides, if you have not done so already, please go to the Investor Relations section of the company's website at www.materialise.com. The earnings release that was issued earlier today can also be found on that page. Before we begin, I'd like to remind you that management may make forward-looking statements regarding the company's plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company's future results and activities, represent management's estimates as of today and should not be relied upon as representing their estimates as of any subsequent date. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that may impact the company's future business or financial results can be found in the company's most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today's call. A reconciliation table is contained in the earnings release and at the end of the slide presentation. With that introduction, I'd like to turn the call over to Brigitte de Vet. Go ahead, please, Brigitte.
Brigitte de Vet-Veithen: Good morning and good afternoon and thank you all for joining us today. You can find the agenda for our call on Slide 3. First, I will summarize the business highlights for the third quarter of 2025. Then I will pass the floor to Koen, who will take you through the third quarter financials. Finally, I will come back and explain what we expect for the remaining months of 2025. When we've completed our prepared remarks, we'll be happy to respond to questions. Moving to Slide 4 for the highlights of the third quarter 2025. While our overall revenue remained under pressure, I am very pleased with the continued strong growth of our medical unit, where we achieved double-digit growth again on the back of an exceptionally strong third quarter last year. Today, I would like to highlight the progress that we are making in the cardiac segment, one of our newer markets. In 2025, we acquired FEops, a company specializing in AI-driven simulation technology for structural heart interventions. FEops' predictive simulation technology complemented our Mimics Planner, adding advanced simulations to its anatomical measurements. We have now taken 2 important steps in this market. First, we recently released the next version of FEops' heart guide for transcatheter aortic valve replacement, adding important features to the planner. In addition to giving physicians insights into the right size and position of the device in the aortic route, this release helps them to manage the lifetime of the patient. Specifically, this new release includes a predictive simulation of the potential ways to treat the patient should he or she come back for reintervention a couple of years down the line. Secondly, we generated additional clinical evidence to underline the benefits of our cardiac planners. As an example, in a prospective study with 126 patients, a leading cardiac center demonstrated time savings of up to 91% for patients undergoing transcatheter aortic valve replacement. This important time saving came with high accuracy combined -- compared to standard planning tools. Also, the fact that the cardiac planner is a cloud-based system that can be accessed from anywhere by the heart team, which typically consists of several specialties, facilitated the discussions in the preparation of the intervention. This evidence shows that our AI-enabled automatic case planning could play a role in generating efficiencies in this type of procedures, thus potentially enabling the treatment of more patients with a personalized approach in the future. The improved features of our planners and the additional evidence will strengthen our position in this market and provide a great foundation to treat more patients in the cardiac space. I would also like to highlight the progress we made in our existing markets. As an example, we released a new version of our Mimics Enlight CMF planner. You might remember that this software was one of the finalists for the TCT award in the healthcare category earlier this year. In this new version, customers can now benefit from a range of AI algorithms that enable them to plan cases faster and more efficiently. And this is particularly important, for example, for trauma cases. Trauma patients come to the hospital after accidents, sometimes with complicated fractures and multiple fragments of the jaw that the surgeon needs to puzzle together. The trauma planner of Mimics Enlight CMF now gives the surgeons the ability to efficiently plan the procedures and piece those fragments together. This planning also helps to gain time during the procedures because the surgeon knows how to treat the patient. In addition, the surgeon knows what type of device to use in the procedure. And in a world where more and more devices come in a sterile package, it saves a lot of cost if you only open what you need rather than trying multiple products and then having to resterilize and repackage or in some cases throw away what you don't need. So in summary, this new release of Mimics Enlight CMF enables us to target the trauma segment, which is a significant part of the market and first feedback from customers is encouraging. Turning now to our Materialise Software segment. We continue to make progress to establish CO-AM as the ecosystem for all AM operations. In the last 12 months, we launched our Magics SDKs and the next generation of our build processors. As a reminder, our Magics SDKs allow users to create custom preprint workflows by tapping into more than 800 algorithms built over 35 years. These SDKs enable customers to scale AM operations efficiently and print complex, high-performance geometries while avoiding field builds and improving part quality, all of this while protecting the intellectual property behind component designs. Similarly, the advanced algorithms of the next-generation build processors significantly improve build time and quality, thanks to, for example, its advanced strategies for multi-lasers. And they enable a variety of collaboration models, including the possibility for customers to build their own build processors, thanks to the availability of our SDKs. We are now going a step further by launching a low-code enabling technology on CO-AM, making these SDKs more accessible for customers without a deep engineering background. This facilitates new product introductions of our customers and enable easy workflow automation for large-scale applications. The new capabilities, therefore, have the potential to drive efficiencies and optimize the cost of additive parts. We are currently preparing for next month's Formnext, where you will hear more about this and our other capabilities on the CO-AM ecosystem. Finally, in our Materialise Manufacturing segment, we continue to execute on our strategy while facing continued headwinds in some market segments, including the automotive sector. Specifically, at ACTech, we continue to invest in the huge and heavy segment by adding machines able to produce giga castings and other large and complex parts, often at a significant weight. As a reminder, in the third quarter 2024, we celebrated the opening of our second ACTech plant and shipped first parts in the fourth quarter 2024. In segments beyond automotive, such as aquaculture, mining, maritime or energy, parts are typically not only larger and heavier, but also more complex, for example, to achieve better thermodynamic cycles in the large engines with maximum fuel efficiency. The combination of high-precision sand printing, casting and complex post-treatment that we can now offer at ACTech is ideal for these parts. Also, the machines installed in 2025 enable the automation required to produce these complex parts not only for prototypes, but also in small series. I would also like to highlight the progress we are making in the defense sector, where in light of the current geopolitical landscape and the breakdown of traditional global alliances, spending is increasing, in particular, in Europe in order to strengthen resilience and autonomy of the various regions. After the announcement of our broad engagement in this sector, we attended DSEI, one of the world's largest defense and security trade exhibitions and attended a series of other events, engaging with major primes and showcasing our capabilities. Additive manufacturing addresses the defense industry's challenges as additive manufacturing enables rapid, flexible and sustainable production of mission-critical components, reduces logistical constraints, fosters innovation and strengthens strategic autonomy in a complex and evolving security environment. The positive interactions with stakeholders in the industry confirmed that our additive production capabilities in Europe and our software capabilities globally are valuable assets to address the current challenges of the defense industry. I will now turn over to Koen, who will present the financial results.
Koen Berges: Thank you, Brigitte. Good morning or good afternoon to all of you on this call. I'll begin with a brief overview of our key financial results, as shown on Slide 5. Our consolidated revenue grew by 2% compared to Q2 of this year, but ended with EUR 66.3 million, 3.5% lower than last year's strong third quarter. Our gross profit margin remained strong at 56.8% in the third quarter of this year, fully in line with the margin realized over the first 9 months of 2025. Adjusted EBIT for the third quarter of '25 amounted to EUR 2.9 million, representing an adjusted EBIT margin of 4.4% of revenue. Over the third quarter of this year, we generated a net profit of EUR 1.8 million. Driven by strong free cash flow in the third quarter of this year, we further increased our net cash position to EUR 67.7 million. In the following slides, I will elaborate further on these results. As a reminder, please note that unless stated otherwise, all comparisons are against our results for the third quarter of 2024. Turning now to Slide 6. You will see an overview of our consolidated revenue. In the third quarter of this year, Materialise Medical posted an all-time revenue record of EUR 33.3 million, growing by more than 10% compared to a particularly strong third quarter of last year. On the other hand, revenues from our Software and Manufacturing segments continue to be impacted by macroeconomic headwinds. As a result, revenue in both segments declined by 7% and 17%, respectively, leading to an overall decrease of 3.5% of our consolidated revenue compared to last year's period, while unfavorable ForEx effects, mainly due to a weaker U.S. dollar also impacted our top line this quarter. As you can see in the graph on the right side of the slide, Materialise Medical accounted for 50%, Materialise Software for 16% and Materialise Manufacturing for 34% of our total revenue over the third quarter of 2025. Our deferred revenue balance related to software maintenance and license fees coming from both our Medical and Software segments decreased in the third quarter of this year, which is fully in line with our seasonal pattern. Over the last 12 months, however, the balance increased by EUR 4.2 million, bringing the total amount carried on our balance sheet at the end of the third quarter of 2025 to EUR 45.3 million. On Slide 7, you will see our consolidated adjusted EBIT and EBITDA numbers for the third quarter of 2025. Consolidated adjusted EBIT totaled EUR 2.9 million compared to EUR 4.4 million for the same period of '24, representing an adjusted EBIT margin of 4.4%. Consolidated adjusted EBITDA for the third quarter amounted to EUR 8.4 million, decreasing from EUR 9.9 million in 2024, representing an adjusted EBITDA margin of 12.7%. Given current market volatility, we believe that it's important to also compare our operational performance on a quarter-over-quarter basis. In this context, both adjusted EBIT and EBITDA remained roughly stable compared to the second quarter of this year and are significantly up from the beginning of 2025 as a result of disciplined cost control and of targeted cost reduction measures, we have taken to safeguard operational profitability. Year-to-date, we generated now EUR 6.6 million of adjusted EBIT and EUR 22.9 million of adjusted EBITDA. Moving now to Slide 8. You will notice that the revenue in our Materialise Medical segment, as already mentioned, increased by 10% compared to the particularly strong third quarter of 2024. The growth was again generated by both medical software and by revenue from medical devices sales, which grew respectively, by 6% and 12%. Within our Medical Devices and Services activity, we saw continued growth in both our direct and our partner sales. In line with the top line growth, adjusted EBITDA grew further to EUR 10.2 million, resulting in an adjusted EBITDA margin of more than 30%. We further increased our R&D investments in Medical and will continue to do so in coming months in order to drive future growth. Year-to-date, our Medical segment realized revenue of EUR 97.2 million, up by 15% from last year, with an adjusted EBITDA of EUR 30 million, which represents a 31% adjusted EBITDA margin. Slide 9 summarizes the results of our Materialise Software segment. In the third quarter, software revenue decreased by 7% to EUR 10.3 million. This was partly due to unfavorable ForEx impacts, while macroeconomic and geopolitical uncertainty also continued to put pressure on our sales volumes, especially in the U.S. markets. During the third quarter, we continued our transition to cloud subscription-based business model. Over the quarter, around 83% of the software revenue was of a recurring nature versus 74% in the same quarter of last year, demonstrating the progress we keep making here. Despite the lower top line, effective cost management allowed us to keep the adjusted EBITDA margin stable at around 18% compared to the same period of last year, leading to an adjusted EBITDA of EUR 1.8 million. Year-to-date, our Software segment realized EUR 30 million of revenue and an adjusted EBITDA of EUR 3.8 million. Now let's turn to Slide 10 for an overview of the performance of our Materialise Manufacturing segment. In the third quarter of this year, the performance of manufacturing remained weak, with revenue declining by 17% compared to last year's third quarter and ended at EUR 22.7 million. Compared to Q2 of this year, however, revenue increased slightly. The macroeconomic headwinds we have been facing for some time continue to impact our operational results. Mainly as a result of the lower top line, the adjusted EBITDA of the Manufacturing segment ended negative this quarter at minus EUR 0.8 million, stable compared to this year's second quarter though. Year-to-date, our Manufacturing segment realized revenue of EUR 70.3 million with an adjusted EBITDA of minus EUR 2 million. Slide 11 provides the highlights of our consolidated income statement for the third quarter of this year. And over the period, our gross profit amounted to EUR 37.7 million, representing a stable gross profit margin of 56.8% compared to the previous quarters of this year, but slightly below the 57.2% realized in a strong Q3 of 2024. Our operating expenses in the quarter increased only by EUR 0.2 million or less than 1% in aggregate compared to the same period of last year, with R&D expenses increasing 4% year-over-year. During the quarter, we invested again over EUR 11 million in R&D, the majority of which was in our Medical segment. Sales and marketing remained flat year-over-year, while G&A expenses decreased by almost 3%, reflecting the impact of continued cost control. Net operating income in the quarter was EUR 0.9 million, remaining stable compared to prior year. As a result of all of these elements, the Group's operating result in the quarter was EUR 2.5 million. In Q3 2025, the net financial results amounted to a limited loss of EUR 0.1 million. Interest income on our cash reserves offset the interest expense on our financial debt and the negative impact from foreign exchange fluctuations. Last year's corresponding period, the net financial loss was minus EUR 1.1 million, mainly due to large unfavorable exchange rate effects at that time. Income tax expense in the quarter amounted to EUR 0.6 million compared to a tax expense of EUR 0.1 million in the corresponding period of last year. And as a result, we once again generated a positive net result in the third quarter of this year, amounting to EUR 1.8 million, representing EUR 0.03 per share. Now please turn to Slide 12 for a recap of balance sheet and cash flow highlights. And also for the third quarter of 2025, we can report a strong balance sheet. Our cash reserve further increased to EUR 132 million at the end of the quarter. At the same time, our gross debt also increased to EUR 64 million. Both changes were impacted by an additional EUR 50 million drawing we made during Q3 on an existing bank credit facility in line with contractually agreed drawing periods. In the next 12 months, we will be drawing the remaining EUR 50 million of this facility. The net cash position at the end of the quarter, which is not impacted by these additional drawings, amounted to EUR 67.7 million, up by almost EUR 7 million compared to the beginning of this year, mainly driven by strong free cash flow. Trade receivables, inventory and trade payable positions on our balance sheet all decreased compared to the position at the end of last year. The total deferred income position decreased to EUR 58 million, out of which EUR 45 million was related to deferred revenue from software license and maintenance contracts, as mentioned earlier, reflecting the seasonal pattern of deferred revenue evolutions. As you can see from the graphs on the right side of the page, the operating cash flow in the third quarter amounted to EUR 10.4 million, significantly up from the EUR 6.9 million generated in the third quarter of 2024. Capital expenditures for the third quarter amounted to EUR 5.3 million, including EUR 3.1 million of non-recurring CapEx, mainly spent on remaining machinery for the new ACTech plant and on the installation of a solar panel park at HTU. Year-to-date, total CapEx amounts to EUR 11.8 million, out of which 60% or close to EUR 7 million can be considered to be of a non-recurring nature. Over the first 9 months of this year, the operating cash flow amounted to EUR 20 million, while the year-to-date free cash flow is positive at around EUR 11 million. And with that, I'd like to hand the call back to Brigitte.
Brigitte de Vet-Veithen: Thank you, Koen. Let's now turn to Page 13. I'll conclude my remarks with a discussion of our full year 2025 guidance. As we approach the end [indiscernible] continue to impact the business environment in which we operate in our Manufacturing and Software segments. For fiscal year 2025, we therefore maintained our guidance as previously communicated with revenues in the range of EUR 265 million to EUR 280 million and adjusted EBIT in the range of EUR 6 million to EUR 10 million. We remain confident that our business is solid and resilient and that Materialise is strongly positioned to capture growth opportunities once market conditions improve. This concludes our prepared remarks. Operator, we're now ready to open the call for questions.
Operator: [Operator Instructions] And our first question will come from the line of Troy Jensen with Cantor Fitzgerald.
Troy Jensen: Congrats on the nice results. So, I'd just like to just unpack a little bit in Medical. Could you kind of give us an update on -- I guess I'm trying to figure out like relative exposure. I think of you guys as probably CMF and HIPS as the 2 biggest sections. I just would be curious if you could kind of rank order. And then this cardiac and some of these other things, how big and important can they be for next year here?
Brigitte de Vet-Veithen: Yes. So I think in general, Troy, I mean, obviously, a very good question. I think what we've repeatedly communicated is that we have our existing markets and some new markets. So CMF, orthopedics and our research and engineering segments are the existing markets where we've already been active for quite a long time and that those markets are a little more mature than the others. In our new markets, we address the cardiac and the respiratory space in particular is new markets. So of course, the majority of our revenue comes from our existing markets. The new markets are still small, but we expect them to grow faster than the existing markets in the future. That's kind of how you need to think about that. Now within the existing markets, all 3 markets remain very important for us.
Troy Jensen: Okay. All right. And how about just manufacturing here? I get a bunch of questions. I'll just rattle them off quick and see if you can hit them all. But you just hopes on a recovery, and I'm just kind of curious how big is aerospace and defense as a percentage of revenue?
Brigitte de Vet-Veithen: So aerospace remain -- it has been a focus segment for us for quite a while. We see in the aerospace segment in general, we have seen continuous growth in that segment and we do believe that that's going to continue. Now the defense industry is a newer industry for us, at least with the broad engagement that we have communicated about earlier this year. So, the defense area at this point in time is not a significant market for us yet. At the same time, with -- as I mentioned earlier in my remarks, I think with the interactions we had so far, I see potential in that defense segment as our capabilities that we have built for aerospace can particularly be leveraged in the defense industry going forward.
Troy Jensen: On the defense side, Brigitte, is it more on the metals front or is it polymers also?
Brigitte de Vet-Veithen: It's actually a combination of polymer and metal. I'll give you an example on the aerospace segment, where our polymer offering is really important. There's 2 different applications on the polymer side that you can think about. One is interiors for the aerospace segment at large, in particular, for commercial aircraft as an example. The second is tooling where our polymer capabilities are helpful for aerospace companies, and in particular, the larger OEMs driving this. As an example, we were the first qualified supplier for Airbus in the polymer segment and that's a couple of years back.
Troy Jensen: Okay. If I could sneak one more in. Can you just talk about just the manufacturing profitability? I mean, obviously, it's been a drag on you guys, unfortunately, here at these revenue levels. Any thoughts on either a recovery in kind of European industrial markets to drive better profitability or are there other things you can do to kind of cut costs to try to prevent that from diluting kind of the profitability level?
Brigitte de Vet-Veithen: Yes. So I'll give you a double answer. So the first part of the answer is that, as Koen highlighted in his review of the financials, we have taken measures to significantly reduce our cost end of last year, earlier this year. And we do see the impact on our financials in manufacturing already. They might not be super visible on the EBIT and EBITDA lines given the weakness -- the continued weakness we see on the revenue line, but they have been making a difference, as Koen highlighted. So that's the first one. The second element to the answer I would give is there is 2 things really we need to see recovery on the revenue line. As you mentioned, the European environment is a really important one for us. So recovery in the European markets will certainly be a driver to bring our revenues to a more usual level. The second element that is important to keep an eye on is the automotive sector as such, because admittedly, in manufacturing at large, we are still exposed to the automotive industry and that is in Europe and in the U.S. And the recovery of the automotive industry will help us to recover to a more normal level on the revenue side as well. So it's really those 2 drivers that we need to keep an eye on.
Operator: I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Ms. Brigitte de Vet for any closing remarks.
Brigitte de Vet-Veithen: Thanks again for joining us today. We obviously look forward to continuing our dialogue with you through investor conference or in one-on-one virtual meetings or calls. And we are also looking forward to meeting some of you in person at the upcoming Formnext event in November. In the meantime, please reach out if you have any questions. Thank you, and goodbye for now.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.